Operator: Hi, everyone, and thank you for joining Axon's executive team today. We hope you've had a chance to read our shareholder letter released after the market closed, which you can find at investor.axon.com. Our remarks today are meant to build upon that letter. During this call, we will discuss our business outlook and make forward-looking statements. These comments are based on our expectations as of today and are not guarantees of future performance. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially, as discussed in our SEC filings. We will also discuss certain non-GAAP financial measures. Reconciliations to non-GAAP are included in our shareholder letter and available on our Investor Relations website. With that, before I turn it over to Rick, we have a quick video to show you. It shows a little bit about our vision for Axon 911. Let's pull it up.
Erik Taylor Lapinski: Every year, more than 240 million people call 911 in the United States. Moments when every second feels like forever. But the longest moment is the one waiting for help. Your car can drive itself, your watch can warn you before you're in danger, your fridge can order milk. But when you call 911, a system built to send help still runs on decades-old technology built for landlines, blocked to video, and too slow for a mobile world. This isn't just a miss. It's a mission, and we're closing it.
Joseph Lima Cardoso: 911, what's your emergency? So he went somewhere in that direction.
Jonathan Frank Ho: But I didn't.
Erik Taylor Lapinski: For the first time, intelligence from the 911 call, from cameras, from sensors, from cell phones, all converge in real-time. Powered by AI at every turn. Instantly understood and shared across the Axon ecosystem. Chaos becomes clarity. Dispatchers command, and first responders all see the same evolving picture instantly. To bring help to those in need faster. And keep those responding safer. Call playing.
Joseph Lima Cardoso: Street.
Erik Taylor Lapinski: And when it's over, every word, every video, every transcript is already preserved in Axon Evidence, flagged by AI, ready for review, closing the loop from call to courtroom. The 911 call of tomorrow won't just start a response; it will shape it. At every moment from call to closure, we're saving seconds. And saving seconds saves lives.
Operator: Thanks, Erik, and great job to our team who put that video together to help share some of the narrative of where we're going next as we extend the Axon ecosystem. So I'd like to welcome everybody to our third quarter 2025 earnings call. It's truly just an amazing time to be at Axon Enterprise, Inc. Just a few weeks ago, we were at the major annual conferences across public safety, federal and military, and enterprise, meeting with hundreds of customers to catch up on their top priorities and share our vision, which you just saw a glimpse of a piece of it in that video. Like me, our team walked away energized. We're incredibly excited about what we're building. The future we envision is coming together, and it's even more inspirational than I could have imagined a decade ago. At the heart of that future is the expansion of our ecosystem. Our latest update outlines our path toward delivering Axon 911, which will be built on the foundations of Prepared and Carbine. A major leap toward unifying the technology needed to deliver measurably better outcomes for communities and our customers. Prepared and Carbine are powerfully complementary. Prepared is a low-friction AI capability that can be rapidly installed in any communication center, immediately giving call takers superpowers to speed through data collection, analysis, and sharing. It can autonomously handle up to half of noncritical calls, freeing the human operators for true emergencies. On critical calls, Prepared serves as an intelligent assistant, taking on data collection so operators can focus on the human side of helping people in crisis. Just last week, I heard a story about a 911 call center for one of the largest US cities who installed Prepared ahead of the Fourth of July. They completed implementation in about a month, which is incredibly fast. It's lightning fast for public safety. And in the first few days, they saw a 33% reduction in calls requiring a human operator, even as the overall inbound volume was up significantly due to the holiday weekend. That's real immediate impact. And Carbine replaces on-prem call center infrastructure with highly resilient cloud infrastructure, eliminating the enormous costs of running legacy equipment and allowing agencies to move at the exponential pace of modern technology rather than at the glacial pace of procurement. We see Carbine repeating in voice communications the success we had with evidence.com in moving agency data centers to the cloud. Now we'll do it with their call centers. Together, these capabilities let agencies make their existing systems smarter today and provide a smooth, orderly path to full modernization over time. Both leverage AI natively to rethink what's possible. Let me bring this to life. Imagine you need help. You dial 911. Today, the operator listens, gathers information, and frenetically types it into a command line system. That information is then passed via a typed message over to a dispatcher, who's a different person who reads that information and then relays it over the radio to police officers. It's an inherently inefficient system of the old telephone game, prone to risks of miscommunication. We can turn that process, and we are now turning it on its head. When you make that call, a network of connected devices and software across your city will activate instantly, analyzing information, prompting decisions, and allowing the human operator to coordinate a faster, more informed response. Call handlers will focus on helping you instead of typing feverishly, while real-time prompts will enable the dispatch of human or drone responders. Oh, and that suspicious reported person? We can handle that call autonomously. No need for a human operator. When there is an emergency, critical contacts will flow directly to those on scene through their body cameras, keeping them more informed, less distracted, and better supported by a network built to keep people safe. It's a powerful future that's coming into view. Now, to clarify how this fits into our overall approach, as you will recall, we exited our computer-aided dispatch product line about a year ago. This new approach lets us innovate in critical response workflows without rebuilding legacy systems. It means we can innovate faster, driving real-world impact and value creation. And we will enable reciprocal data sharing and APIs to drive true interoperability, giving agencies the flexibility to modernize at their own pace. This isn't just a cloud migration. It's a connected platform that upgrades existing systems and makes them better. No replacement required. Customers get immediate capability upgrades while having the option to migrate older infrastructure to hyperscaler efficiency on their own timeline. It also unlocks new potential across our real-time operations, vehicle intelligence, and drone and robotics platforms, creating an integrated ecosystem that delivers on the future we've long envisioned. With FUSYS serving as the real-time sensor network backbone, while Prepared and Carbine provide the voice layer connecting every persona from the caller to the responder, moving toward creating an AI super-powered team. Voice communications, if we think back, this began with operators a hundred years ago physically connecting phone lines. Then it moved through rotary dials and keypads. The next era is intelligent AI-enabled communications that process information at superhuman speed and surface the right insights to each human decision-maker when they need it. Prepared and Carbine aren't the end state; they are the foundation for the transformation in voice communications ahead. People often ask where Axon's limits are. I believe we're only scratching the surface. We're advancing our ecosystem while expanding our reach to more new customers. In addition to better serving emergency call centers, we recently introduced AVW Mini, our second enterprise body camera, opening enterprise opportunities similar to public safety. And we're finding new inroads globally. As I think about the next few decades, what we're building, I truly believe that the best is indeed yet to come. What an amazing time to be alive, and what a privilege to be at Axon during this accelerating transformation. And with that, I'll turn it over to Josh.
Joshua M. Isner: Thanks a lot, Rick, and good afternoon, everyone. Before we get into our results, I want to echo Rick's comments as we welcome the Prepared team and soon the Carbine team to Axon Enterprise, Inc. I believe our greatest asset is our team. Nothing excites me more than bringing on exceptional people who will help accelerate our mission and ignite our future. Our growth can only accelerate via elite talent. Our team is now stronger than ever with the additions of Michael, Dylan, Neil, and the rest of the Prepared team, and Amir, Alex, and the rest of the Carbine team. As I reflect on our Q3 results and look ahead to Q4, I'm excited and grateful. We are building an elite business that is still nowhere near its ultimate potential, and we are doing it with a team that has rapidly bought into the mission. A lot of people around here bust their tails every day, and I am thankful for the intensity they bring to work and the bar they set. What we're seeing right now isn't just incredible execution. It's a signal. The theme that comes to mind is "be obsessed." Our value focuses on relentless focus on our customers, an attitude we drive home every day at Axon, because we know their success is what fuels our growth. Let me share a few data points that show how we're hitting the mark. First, our state and local customers continue to rely on us for more and more products. Rick talked about expanding our ecosystem. And for me, the most important indicator that we're doing it right is simple. It's evidence that we're helping customers where they need it most. We hear that in conversations every day, but we are seeing that in the data. One clear example is that more and more of our deals now include the full breadth of our portfolio. I say it often, we have the best sales team in the world. But when you can sell everything to a customer, that's more than just sales execution. It's the trust you've built. It's the product market fit. It's a sign you're making an impact. I mentioned last quarter that a few of our deals were approaching the $600 per user per month level, several multiples above our current average. In Q3, we broke that threshold with two of our top 10 deals, our state and local base, each representing major upgrades with Axon. These long-term partnerships across so many different product lines speak to our customers' confidence in a future with us. Across products, the story is the same. The AI era plan continues to be the fastest booked Axon software product to date. We're on pace for AI bookings to contribute over 10% of US state and local bookings for this year. When you expand that to our newer offerings, Axon Air, D drone, and FUSYS, bookings are up more than 3x year to date. The momentum highlights another key part of our growth strategy, how we pour fuel on the fire when we acquire great businesses. Across the board, our acquisitions over the past year have outperformed initial bookings expectations, which are showing up in adoption of these new products. Next, let's talk about expansion beyond our core state and local base into corrections, justice, international, and enterprise. A standout this year continues to be corrections, which contributed two of our top 10 deals in Q3, with year-to-date bookings up more than 2x from last year. International also delivered two of our top 10 deals overall, with an additional 9-figure cloud deal in Europe that closed in October. We're finally seeing a shift in some countries driven by the value that cloud products bring, and we think this will be the start of larger and larger deals in our international segment to come. Growing adoption of TASER 10 in international markets is another part of the story. In seven of our top 10 Q3 international deals, TASER 10 was a driving factor. Looking ahead, we're executing against a growing pipeline, and we're not slowing down. Year-to-date bookings are up in excess of 30%, and accelerating from last year, and we have line of sight to close out the year even stronger. But we are still in the early innings. We see the healthiest and best indicators across our business we have ever had, and I'm confident we are on the right track as we scale up the investment in our product and sales team to go after the entirety of what's in front of us. I have no doubt we will deliver another record year in 2026, something that I'm sure many of you are wondering about. And I think our opportunity has the potential to accelerate much further. Going into next year, look for us to continue to drive record growth, ensuring better execution through the use of AI tools and efficient decentralized ownership to tackle new markets and opportunities. An elite, scrappy team doing more and more in parallel will be our competitive advantage for years to come. That's what our next play will look like. With that, over to you, Brittany.
Brittany Bagley: Thank you, Josh. As Rick and Josh highlighted, we're excited to welcome Prepared and announce Carbine, which we expect to close in early 2026. We're proud of our third-quarter results, which again reflect strong execution across our products and markets. Third-quarter revenue of $711 million increased 31% year over year, marking our seventh consecutive quarter of 30% or greater growth, underscoring the robust demand we are seeing. Software and services was again the leader, increasing 41% year over year to $305 million of revenue. This growth reflects both new customers and existing customers expanding their use of our platform and capabilities. We continue to have strong net revenue retention at 124% again this quarter, and ARR grew 41% to $1.3 billion. Connected Devices revenue grew 24% year over year to $405 million, reflecting broad-based demand. TASER grew 17%, led by TASER 10, and Personal Sensors grew 20%, driven by Axon Body 4. Platform solutions grew 71%, driven by counter-drone, virtual reality, and fleet. Adjusted gross margin of 62.7% decreased 50 basis points year over year, primarily due to tariffs impacting us for the first full quarter. We also continued scaling platform solutions, which overall has lower margins than TASER and personal sensors, but offset by continued strong growth in our higher-margin software business. Adjusted EBITDA margin of 24.9% reflected the impact from tariffs and the planned increased R&D investments. These investments are into categories that will support future growth, including our vehicle intelligence ALPR products, Axon Body Workforce Mini, and new AI era plan features such as live translation and policy chat. We couldn't be more excited about these products and the traction they are already seeing from our customers, and we will deliver a strong ROI on these organic investments over the long term. We've also accelerated strategic investments with recent acquisitions. Newer product lines such as FUSYS and D drone are scaling quickly, and we continue to invest in their growth, along now with Prepared and Carbine as another exciting new category. While these acquisitions are immaterial from a financial perspective at close, we see tremendous value in how these investments advance our long-term vision and solve challenges for our customers. They have strong teams in emerging categories and complement the capabilities we are already investing in. Turning to our outlook, we're again raising revenue guidance for the remainder of the year. We expect Q4 revenue between $750 million and $755 million, implying full-year revenue of about $2.74 billion, up from $2.65 billion to $2.73 billion, and representing approximately 31% growth at the midpoint. For adjusted EBITDA, we expect Q4 between $178 million and $182 million, which maintains our full-year 25% margin target. We are pleased to deliver on our commitment for a 25% adjusted EBITDA margin for the year, even with the impact from tariffs and our increased R&D investments. We think the combination of top-line growth and bottom-line profitability is the right balance for the business, delivering at 55 plus versus the rule of 40. We're incredibly excited by the opportunities in front of us. The investments we highlighted are key components of continuing to deliver great performance in the years ahead. In summary, we are proud of our results and our team and thankful for our terrific customers. We're well-positioned for the future and look forward to continued strong performance. With that, we'll open the line for questions.
Operator: Thanks, Brittany. Up first, we have George Notter at Wolfe Research. Hi, guys. Thanks very much.
George Charles Notter: Josh, you mentioned that AI should contribute about 10% to total bookings this year. The bookings looked a little bit softer this quarter. Was there any delayed contract decisions in Q3 that maybe drove that? Or what's the perspective there?
Joshua M. Isner: Yeah. Thanks for the question, George. Look, we had said last quarter, we expect bookings growth to be in the high thirties year over year, and we still believe that to be true. And so, you can guess what that means for Q4.
George Charles Notter: Got it. Okay. And then, also, you guys have now acquired, I guess, I look at it, you know, Prepared and Carbine, both in the 911 space. You talked about them as kind of a foundation, but it'd be great if you could talk a little bit more about sort of the industrial logic, why it makes sense for you guys to be in that space given the existing competitive landscape and the types of things that you expect to add to those businesses going forward. So what's the perspective on those two deals? Thanks.
Rick Smith: Let me go and take that one. If you think about what we build in our ecosystem so far, we look at what are things that are most valuable when they plug into the broader Axon ecosystem. So today, we've got strong connections to the officers in the field, their vehicles, through their body cameras, their in-car cameras, drones, robotics. But if you look at where information comes in, that comes in really through your 911 call centers. Now previously, we had looked at making a play in dispatch, and what we learned was that CAD software, frankly, was just not a lot of room to innovate. It was something where it's very training-intensive, typically very old code bases, have to integrate with a lot of legacy federal and other systems. And so we pulled back from there, seeing it wasn't a place we could innovate. And we were looking at where can we use AI and where could we begin to innovate really across the very beginning of an incident. Right? It starts with a 911 call the majority of the time. But you can't skip 911. Right? You know, we've looked at different strategies. You know, how else could we connect these smartphones rather than through like a 1970s voice interface? And what we learned in looking at that is like, there is zero appetite to do anything that is not the 911 call. But once you start with the 911 call, you can then open up parallel channels of communication. So with Prepared, for example, we can send a link, open up cameras and sensors on the phone. We can begin to do like AI processing so that the human being, we're not limited by the typing speed of the human, nor their ability to finish the initial report before sending it on elsewhere. We can begin processing information in real-time. We see this as the ability to deploy drones much faster, to begin moving officers into position before they're even officially deployed, and to become much smarter by now basically creating the link between the caller and the whole Axon ecosystem. And I think this is a lot bigger than 911. Prepared is really about AI voice communication automation, really starting in 911, and then where Carbine gets really interesting, they have built a very high reliability mission-critical voice communication platform. That also starts in 911 but by no means is it limited to that. That's where you would need to sit. So we think voice communications that today sits in pretty ancient infrastructure across the whole spectrum, whether it's a 911 call center or LMR radios right out of the 1970s, like, you've got all these different voice communication systems, none of which really leverage the latest technology. Are not really built to move at the exponential speed of modern tech. We see Carbine as the play to go deeper into that voice layer infrastructure and to be able to deploy it across not just 911, but all the human beings that are involved in a call and to bring the move AI to the center. We named the company Axon, right, because it's all about the axons of the nerve fibers that connect everything together into the sophisticated nervous system that is a human being. We're building the nervous system of the modern police agency, and these two acquisitions move us into really being a major player in voice communications and really an ability to link in the consumer right from that first 911 call.
Operator: Thanks very much. Thanks, George. Up next, we have Jeremy Hamblin at Craig-Hallum. Thanks, and I wanted to get into just some of the interplay that you're seeing between software and services.
Jeremy Scott Hamblin: Connected devices. So you know, your ARR growth was, you know, the best growth rate you've seen in 2025, software and sensor, software and services. Also, the best growth in a quarter in 2025 and a little bit slower growth with connected devices than you've seen in the first half of the year. And I wanted to just get a sense for you know, whether or not that is a reflection that you are having maybe not as many new licenses, the value of those licenses is growing substantially. And then as we start to look ahead at how the business is going to change and evolve here over the next few years, is that how you expect growth to go forward here over the next, let's say, three to five years?
Brittany Bagley: Happy to start, or you can, Josh. Go ahead, Brittany. Okay. I would say I'll sort of take it in reverse order. I would say as we look into the future, I think we continue to expect software and services as a category to be a higher than average growth rate. It's been doing that for the last couple of years, expect it to continue doing that. What you called out that is on our customers buying more and increasing their features and capabilities, but it's also on increasing user count. So that is not an issue at all. We're continuing to see new customers come in and join the platform. And then we're upselling them over time. So higher growth there across the board. That said, we continue to be really pleased by the growth that we're seeing in our other segments. You know, both TASERs, our body camera segments, we had some really strong growth this quarter in those segments. And we expect those to continue to drive growth well into the future. So both TASER and our body cameras are connected sensors are seeing nice growth this year, next year. Like, there's no there's no real slowing down of that. So you should expect that. Some of that's on new products. We talked about ABW Mini. We're excited for ABW Mini that launches next year. So as usual, we talk about things before they're really hitting our numbers. ABW Mini will be something that'll come next year. There's just a lot of momentum across the board. You can see in platform solutions, that's where you're starting to see both CounterDrone show up, but we're also still getting really nice growth from fleet, and we're seeing VR grow. So it's kind of across the board, and I would expect it to continue to be like that.
Joshua M. Isner: Yeah. I just I agree with everything Brittany said. I also echo Jeremy. Like, over the next three to five years, I think you're gonna see the same type of growth as you're seeing now. And it's certain a part of it is what I talked about earlier with the per user values going up. But do not discount the user growth that we're gonna see either. Like, you know, international and enterprise. We have a lot of confidence that those are headed in the right direction. International, we're super excited about results we've seen year to date and the early Q4 results that we're seeing, you know, I think user growth is absolutely going to be a major part of our future.
Jeremy Scott Hamblin: And then just one other question. In terms of the company is closing in on kind of $3 billion in annualized revenue. As we look at some of these newer pieces of the platform, Axon 911, versus, let's say, you know, a D drone, which of those do you expect to be they're still in early stages. And from a materiality standpoint, do you expect faster growth from Axon 911 versus D drone?
Joshua M. Isner: Maybe I'll take a shot at that to start. I think, you know, look, part of the reason we acquired both of these businesses on the 911 side, Jeremy, is because their growth is very, very exciting into the future. But note that those are software businesses. And so in terms of hitting our revenue, you know, just like with all software, it takes time for the software to accumulate. And D drone, while a software business, is also a hardware business. And so you'll see that first in our results. By virtue of the fact that these are high dollar, hardware shipments some of which are, you know, like, 9-figure opportunities we're working on right now. And so we, you know, I think D drone will be the first to hit revenue in a big way. But when you look at, over the long term, we think there's a lot to disrupt in the 911 space and the synergy between those opportunities and all the downstream stuff with digital evidence prosecution, I think that that workflow from end to end is going to be the long-term value that we add to public safety.
Brittany Bagley: I agree with all of that. I would just add, like, I wouldn't discount FUSYS, and I wouldn't discount some of the new organic investments we're making into things like vehicle intelligence and automated license plate reading. As we think about our acquisitions, I think what you're seeing is we are investing in companies that tend to be a little bit earlier stage. So we're not really buying revenue. We're not buying, you know, an existing business. We're buying an opportunity and then we're pulling it into our ecosystem. Integrating it and really using that to accelerate the opportunity. I think what you're seeing on FUSYS and D drone is now we've had them under our belt for a year plus. So you're seeing the power of doing that. Hopefully, a year from now when we've had Prepared and Carbine on for a year, you'll start to see some of that traction as well.
Jeremy Scott Hamblin: Thanks for the color.
Operator: Alright. Up next, we have Andrew Sherman at TD.
Andrew Michael Sherman: Oh, great. Thanks. Good to see you. The international deals, good to see the two big deals there, including a nine-figure one. Any more color on where those were, what product they bought, and how is the pipeline shaping up across countries? And can this momentum you're seeing in Europe or international continue over the next year or so?
Joshua M. Isner: Yeah. Andrew, nice to see you, and thanks for the question. We've been talking for years about opening up the cloud in Europe. And we're starting to see that happen. And I think it's a credit to the team over there led by Cameron and Nathan Sottel opened up one large cloud opportunity already this year in Europe. And that might not be it. And so we're encouraged to see some of that taking place just as TASER is starting to accelerate internationally. We see very consistent bookings out of Canada and Australia. And South America is coming on strong as well. So the international business is, you know, all the things we've been talking about and all the investments we've been making there over the years. It's really starting to come into fruition. And, look, that's part of the investment we have to make moving forward is making sure that we capture that opportunity around the world, and we're prepared to do that and feel really, really good about the results that it's gonna yield.
Rick Smith: Yeah. I would add in, you know, this 9-figure deal is not in one of the bigger or more populous countries. It just gives you an idea of the scale of the opportunity in Europe. And what I think is even more important is this is the alpha patient. When you're introducing a new technology, the hardest part is getting the first customer to adopt it. In the UK, that was the London Met going to the cloud. But the UK post-Brexit is not in the EU. And they're really considered really more part of the Commonwealth as we look at it. We've had a large adoption there. So to me, the thing more exciting than the value of this order is that we've got really, I'd say, the first customer going all in on the cloud in the EU. We've had some other customers dipping their toe, but this is a big one. We get a couple more of these, add in TASER 10 getting some momentum, and Europe could get pretty exciting.
Andrew Michael Sherman: That's great to hear. And since you're all wearing the new Body Workforce Mini, nice to see that live. I know these retail trials have been in the pipeline for a while that you've talked about, we'd love to hear an update on the status of that and what Body Workforce Mini can do to help that. And how this actually deters organized crime in retail and how you're thinking about that opportunity next year?
Joshua M. Isner: Yeah. Sure. Look, I think, you know, I've been about enterprise for a while, and the closer we get to the launch date of ABW Mini, the more excited we get. We already have pent-up demand for this product. And in the meantime, customers are deploying our Axon Body 4 right now. And so, you know, they see the need for body cameras, they're already paying for them and deploying them, and they really plan to expand in a major way as ABW Mini gets to market. And so, you know, I think I've said a couple of times on these calls, at the end of the day, enterprise might be the biggest part of our business. And so we are investing there and feeling great about what our future looks like there. Obviously, a massive TAM with some very, very large customers and enterprises, you know, that we're working with and that are showing a lot of interest and expansion. And so, very, very bullish on enterprise heading into the years to come. And that ABW Mini launch is certainly a moment in time where we think we'll step up in terms of, you know, getting into the next tier of that opportunity.
Rick Smith: If I could add in as well, there was a moment in time our first body camera in policing, you know, didn't hit the product market fit. Axon Pro got it out, got a couple of key customers to prove the concept. Then Axon Flex made it much smaller, but really it was the introduction of Axon Body 1 that hit law enforcement and began to scale. I would say enterprise, the existing body cameras are seen more as police body cameras. Yes, we have the Axon Body Workforce, which is really, you know, sort of a minor reskin of a V3. Compared to what we've now done, I would say this is the moment where we think, well, we know we've got product market fit because we jointly developed this with our key customers. So I think this is we're really positioned now to have the moment that it takes off. And we're seeing, by the way, the early proof points both statistically very significant reductions in assaults on staff in addition to powerful anecdotes, individual stories of very dangerous people seeing they're being recorded, throwing down whatever they were gonna steal, and just storming out rather than causing trouble.
Joshua M. Isner: Right. And to that the to the part of your question about how it directly impacts reducing crime, there's the direct impact of the cameras themselves that Rick was just referring to.
Rick Smith: Again, it's about the combination of how the cameras work together with FUSYS and how the cameras, which can get deployed right into the GSOC of these large retailers and their enterprises, and how it works with other partners like ORR together with all of their workflows. Right? So if ORR is helping them identify and be aware of key individuals that have been repeat offenders or a part of organized crime groups, if their GSOC can be alerted through those alerts as well as people being, you know, as people escalate situations in stores through the Body 4, it's that combination of our pieces of the puzzle, FUSYS, body cameras, and the rest. Then the connection with our partners like ORR that have enterprises incredibly excited and make that the breakthrough moment for why they want to adopt the whole stack.
Rick Smith: Okay. I gotta come back and add one more thing. Here's how this ecosystem ties together. So we've got body cameras that can reduce assault in the store. And I think we've seen society-wide the experiment with decriminalizing theft was a disaster. It led to the hollowing out of some of our best cities. As retailers' business models no longer made sense, they left town with catastrophic consequences. The politicians we talked to know that. I've met in the past two weeks with two prosecutors, one in one of the largest districts in America and one in one of the largest districts in a Commonwealth country. And they both shared with us how important it is for them to be able to drive down criminal behavior and retail crime. Then we've gotta help reduce the friction because there's both the political will to do it, but then how do you actually manage all of this data and get it to the prosecutor in a way that they can handle where they can make sense of the hours and hours of video they may get with every case. And just one example, rolling out our digital evidence in Scotland, the test pilot in Dundee, they saw an 80% reduction in court backlog. We are the only ones who can take this from the retailer through the police, the prosecutor, and the courts and tie the whole system together in a way that will fundamentally make society better and safer.
Andrew Michael Sherman: Wow. That was great. Thank you.
Rick Smith: Thanks. Thanks, Andrew. Up next, we have Jim Fish at Piper Sandler.
Jim Fish: And welcome to the Axon call. Thanks, Eric. Good to be on it. Thanks for the time tonight, everybody. Maybe just staying on body camera, what are you guys seeing competitively there, especially post Motorola's introduction of their new SVX? And how much of the Carbine acquisition and broader 911 is a way to push back on Motorola given that LMR angle, Rick, that you alluded to?
Joshua M. Isner: Yeah. I'll take that one, and nice to meet you. Thanks for joining the call. We're not we're focused on what we're doing at Axon with our body camera business. There's a lot of chatter out there in the market. People like to talk about us. We're focused on our customers. And we see absolutely no headwinds in that way. With any, you know, with any concerns from our customers about our body cameras. We make the best products in the market. Other companies can pick out little things on the edge where they think, you know, there's some moment. Our customers don't see that. And so, we're gonna keep executing. We're gonna keep focusing on our customer. We're gonna keep out-innovating ourselves, and we're gonna keep delivering world-class technology to our customers. The 911 stuff is yet another opportunity to do something better than it's being done in the field right now. And we're really, really looking forward to competing in that space.
Jim Fish: Got it. And then Brittany, not gonna let you off the hook here. I guess Q4 guide is implying a revenue acceleration exiting the year. Giving the confidence in that? How are you guys thinking about backlog exiting the year? It looks like you guys continue to build it up relative to revenue that provides that level of confidence?
Brittany Bagley: Yeah. I mean, we have a lot of confidence. I think as Josh said, we are just seeing more momentum than ever in our bookings. We talked about it a little bit. We're expecting a really big bookings quarter in Q4. Plus, we, you know, have our recurring software business that is just hitting on all cylinders. So I would say at this point in the year, we have really strong visibility. A little bit of the variability is just, you know, mix and exactly what books and gets recognized when. But, really, visibility and just incredible momentum from our customers and from the deals that we have looking at in Q4.
Jim Fish: Perfect. Thanks.
Joshua M. Isner: And can I just add one more thing there? I think, ultimately, you know, we feel really, really good about our organic growth for the next few years. And, like, we're excited about what that looks like. If we want that to continue for years like five through ten, out into the future, we've gotta make some investments to do that in sales and in product. And in new markets and in new products. And so, part of this is like, hey. How do we continue to deliver great results to our investors? We understand the importance of money coming through the bottom line and growing the top line in exciting ways. If we sit on our laurels, we could do that pretty easily for the next few years. We're playing the long game here, and we wanna deliver decades of growth like this. And to do that, there are times where we have to make investments to make that happen for the long term. And so, you know, that's where we are right now.
Jim Fish: Makes sense. Thanks, guys.
Operator: Thanks, Jim. Up next, we have Yani Simolos at Baird. Great. Thanks. Yeah. Yani Simolos on for Will Power tonight.
Joshua M. Isner: Thanks for taking the question. Rick, Josh, maybe if I just start with a question on D Drone and DFR. Was hoping you could provide some color on how conversations are progressing at the state and local level. You know, I know you've been meeting with a lot of customers lately, especially at IACP. So would be great to hear how that was received coming out of that event. And then also, you know, the extent to which there might be growing traction across your broader drones portfolio for military or defense applications going forward?
Rick Smith: Yeah. So I'll start with that. I will tell you every customer is acutely aware of the threat that drones present going forward. Drone-based violence is the big new threat vector. It's probably more dangerous even than gun violence in terms of the propensity for somebody to do a lot of damage quickly. One of the challenges is that right now in the US, state and local police are not legally authorized to mitigate drones. But they are seeing, especially with things like the World Cup coming up, they've gotta start investing now in the infrastructure to be able to track drones. Right now, they can mitigate by going to the pilot. But there's a lot of, I would say, momentum building in Congress to give state and local police the ability to mitigate drones. And, look, we're one bad incident away from that just and I hate to be, you know, I don't wish for that to happen. I hope it never does. But I think realistically, that will happen, and then there's gonna be a rapid movement where you just there's not enough feds to go around to operate the counter-drone equipment. We'll need to secure every city, stadium, every school fair, every public gathering. And we think with D drone, we're just incredibly well-positioned for that. And then look, every time we move into a new space, we do a thoughtful make, build, buy, partner analysis. And for DFR, it was just exceedingly clear. There was one company that stood head and shoulders out from the crowd, and that was Skydio. And that's why we've become a significant investor in Skydio, and we've really chosen them as our DFR partner. And that is really scaling. I mean, the docks, the automated robotic docks to be able to deploy and land a drone and have it recharge on its own with zero human interaction. Those robotic docks really just started becoming available in the last two quarters. And it's scaling rapidly. We're seeing a ton of interest and some pretty big deals coming in the DFR space. And the only thing I'll add is I think it's really important to call out that DFR and the 911 investments we're making really go hand in hand because the more you can shrink the time of the 911 response to get a drone up in the air, the better outcome the customer and the community receives. And so these, you know, while at face value, they seem like on different ends of the workflow here. They are very, very closely related. And, ultimately, you know, we think our investments in 911 will accelerate DFR adoption and lead to far better outcomes in the field.
Rick Smith: Let me tell you one more thing actually together on ecosystem. Today, if you call 911 in a retailer like a Walmart, the people in the store have no idea you've called 911. Completely unaware that there might be some incident happening. When we tie together Prepared, Carbine, FUSYS, and our enterprise customers, we can begin to have them collaborate in real-time so that they're getting alerts as well and being aware, hey, if there's a 911 call in our parking lot, you know, we're gonna need to engage with that or in the store as well. Again, this is where each of these pieces all sort of build on each other into one highly integrated nervous system.
Jeffrey C. Kunins: That's right. Every single conversation is about that triangle of 911, DFR, and real-time crime centers with FUSYS and vehicle intelligence. And the intersection interplay of those three things are what lead to solving crimes faster and more effectively. And delivering the platforms that agencies and communities need.
Rick Smith: Yeah. Good to hear. Sounds pretty compelling.
Yani Simolos: And then, you know, Brittany was just wondering, you know, just switching gears, if you could talk about the gross margin outlook from here. And maybe if you could just review tariff impact that you might be seeing on the gross margins on the connected devices side?
Brittany Bagley: Yeah. Happy to. So all of the impact from tariffs is obviously hitting the connected devices business overall. This was the first quarter that we had a full quarter of impact from tariffs. So as we look at the year-over-year step down, that really is attributable to tariffs. I as long as tariffs stay in place, I view that as sort of a one-time adjustment. So now that's baked into the gross margins. Obviously, as our software business continues to outpace standpoint like we talked about, that becomes even a bigger dollar that becomes a smaller and smaller percentage of our overall gross margin. And so as you go forward from this quarter, you'll go back to just seeing the mix shift interplay between software and connected devices quarter to quarter. So I would imagine that, you know, over a longer period of time, you'll go back to seeing tailwinds in the gross margin from the software business. You know, you'll also over time see tailwinds as we take in some new business and we scale them, something like our platform sensors, which we're calling out as a headwind to gross margins right now. As we get that to scale over time, that'll end up being neutral. So you get into that product mix. This is the one sort of quarter step down that you're seeing from tariffs. Now that'll continue to be baked in, as long as we have tariffs. Like, no question if there weren't tariffs, we would have had higher gross margins and then higher adjusted EBITDA for, you know, this quarter in Q4. But once it's in, it's in, if that makes sense.
Yani Simolos: Yep. That helps. Thank you.
Brittany Bagley: Got it.
Operator: Thanks, Yani. Up next, we have Trevor Walsh at Citizens. Cool. Thanks, Eric. Hey, team. Thanks for taking the questions.
Trevor James Walsh: Rick, if I could just circle back to some of the commentary that you made around Prepared and Carbine. I understand completely kind of the user persona benefits of just making this process and system better. But it seems like between CAD or legacy systems that are in place, it's still those are still kind of in the mix. So is there a risk from just a technology perspective as customers are adding these things into the stack that those things break or just become, you know, don't scale or whatever kind of, you know, technical kind of element there might be where, you know, that just limits the possibility or, like, customers need to get rid of those things faster. Maybe that's what you're hoping for. Just double click a little bit on how kind of the sort of the I guess, the parts that aren't doing so well don't negatively affect what you guys wanna do there. That would be helpful.
Rick Smith: Yeah. So 911 is the entry portal into, you know, the police, your public safety. The fact that that historically has come through a landline, it's definitely now moving the majority of mobile. But it's still sort of next-gen 911 was this government initiative. I think it was next-gen in like 1987. It's certainly not very next-gen compared to where we're at today. And that's where we see a strategy that allows us to build parallel systems that respect the existing infrastructure and allow us to begin to move in parallel alongside it. So yes, we'll integrate with CAD. Over time, I think CAD is going to become less relevant as AI-based systems are processing that information, and we'll see more of those interconnections, I think, move back end to back end in the cloud. Now we'll still likely have to pass them into local CAD systems, but much like your home telephone, you didn't have to throw it out the window when you got your mobile phone, but over time, you know, people migrated more and more. Look at how much your mobile phone has evolved, whereas your landline, yeah. The last big upgrade your landline got was when the rotary went away, you know, in the seventies when I was growing up. But mobile moved really fast, then a lot of people just don't even have wake up one day and you're like, man, don't I actually couldn't tell you my home telephone number right now for my landline. Probably should admit that on air, but it's become that irrelevant. So yeah, I think we've got a strategy that is resilient, that we can build all the critical elements with infrastructure connections in the cloud that make us less dependent. But we'll respect those systems that our customers have on-prem. But this is allowing us to build a parallel infrastructure that's there's no dependencies we really have on some creaky old on-prem thing in order for us to go from caller to RTCC to drone on-site to the officer through their body cam.
Jeffrey C. Kunins: Yeah. And just to build on that really specifically, it's another reason why the combination of Prepared and Carbine is so helpful. You know, as Josh said at the top, I've reached it at the top, you know, what Prepared is is it's this extraordinarily easy to deploy AI overlay that interplays with what they already have with their existing infrastructure. In particular, with their existing call-taking systems. Like, literally, all they have to do is tap an audio feed port off of the existing infrastructure. Then the rest just works. It's just SaaS software. And so it's very easy to deploy. Very fast to deploy, very, very minimal integrations. It instantly gives both the PSAP, the ECC, a ton of this acceleration and efficiency value and forwards that data instantly to FUSYS to voice assistant, for Axon, all of those things to DFR. And then alongside that, you have Carbine, which is a totally modern, totally cloud-based call handling infrastructure system that's already battle-hardened and proven as an agency, is ready to get rid of that old-school big iron on-prem call handling system they can plop that in and have a massive cloud-based upgrade similar to, as Rick said before, journey to evidence.com. And so we have both flavors of that, agencies can move at their pace and they can work with us every step of the way as they move through that, get instant value from Prepared, when and as they're ready, get a complete transformation of the cloud with Carbine.
Trevor James Walsh: Awesome. Thanks both. Maybe one quick follow-up for Brittany. Or Josh, feel free to weigh in as well. Just given, I international momentum sounds great. Corrections, deals, also great. I know those are two kind of big priority areas, but federal deals have been as well and kind of progress there. Just curious if the guidance is influenced at all by the shutdown or even kind of how you're thinking about '26 kind of where that where that's looking on that particular area of the business? Thanks.
Brittany Bagley: Yeah. Maybe I'll take guidance, and then Josh can talk to federal more broadly. We talked at the beginning of the year about how we really weren't betting on federal for this year and that it wasn't a big part of, you know, our guidance or anything we were counting on. I think that continues to be true. So there's actually probably, you know, this all hand over to Josh, but there's probably more upside federal at this point than there is any risk from it.
Joshua M. Isner: Yeah. I would just say, weirdly, given everything going on, it's strange to say, but, we expect Q4 to be our best federal quarter of the year. And so, a lot of that's driven by interest in D drone going into major events next year, like the World Cup and otherwise. But, certainly, even as the shutdown has been going on, you know, significant numbers of personnel are still working through some of these opportunities with us, and we see some upside there for Q4. That's, that's frankly exciting.
Trevor James Walsh: Cool. Thank you.
Operator: Thanks, Trevor. Up next, we have Andrew Spinola at UBS. Thanks, Eric.
Andrew Carl Spinola: Strong quarter in international, but the US business decelerated again this quarter. Despite a really strong software and services growth reaccelerating 41%. Just wondering if you could provide a little color on the dynamic in the US business.
Joshua M. Isner: The US business is accelerating.
Andrew Carl Spinola: On the booking side, what about the revenue side?
Joshua M. Isner: Well, look, the revenue is just a function of how we recognize software. Bookings is the indicator of what the future of the domestic business looks like. And not only is it accelerating, it's actually it's beyond what we planned for this year, frankly. And so we're really proud of the work that's being done in domestic right now. We think it will shine through in a major way in Q4, and when I sit thinking about the business, one thing that I do worry about at all is our execution in state and local. I think it's just going to be a monster year for that team, and it's gonna continue into next year.
Andrew Carl Spinola: So it's more timing, you're saying, just on revenue rec?
Joshua M. Isner: Yeah. I mean, look, Q4 has always been our biggest quarter for domestic. The deals are getting bigger and bigger. And so sometimes, you know, it takes a little extra time to close opportunities like that. We had an awesome October, I'm feeling great about bookings and revenue in the domestic segment. Again, no concerns there.
Andrew Carl Spinola: Just wanna ask one more.
Brittany Bagley: Oh, sure. I was just gonna echo. Like, nothing fundamental. There's a lot of timing that goes into that quarter to quarter. And so, you know, you can have lumpy deals in international. You can have lumpy deals in different segments. Like, I would look at it less quarter to quarter and more over the course of a year. And to Josh's point, over the course of a year, and that really comes through in bookings, we continue to see really incredible strength in the domestic business.
Andrew Carl Spinola: The second question I wanted to ask is just on the bookings piece. Anecdotally, I've seen a shift towards more and more ten-year contracts with your clients, which I think you know, unquestionably a good thing. But I'm thinking about it, is there any color you can give us around that, maybe take rates, how big the shift has been from five to ten years? Because I'm just trying to think as we exit the year and looking at how, you know, '25 formed against the year-end contracted backlog in '24. I'm trying to think about how to think about '26. So I'm just wondering how big of a transition are you seeing towards those ten-year contracts?
Joshua M. Isner: Yeah. Andrew, it's a great question. We look at our business both as normalized bookings, which are we normalize everything to five years. Then total bookings. And, we're not gonna comment much on the ten-year deals, in terms of, you know, the weighting there. But in the five-year deals, we see the growth rate in five in normalized bookings surpassing last year's growth rate. And so even the five-year bookings number is accelerating. Certainly, we're closing more ten-year deals. And like you said, we view that as a good thing. But we certainly don't want there to be any misunderstanding even when you normalize it the growth is accelerating in bookings.
Rick Smith: If I could actually give you one qualitative takeaway I've got. Maybe five, six years ago, we were having some conversations with customers about them having some concern about share of wallet. Like, are we too dependent on Axon just because you're taking up a growing portion of our tech budget? Those conversations have largely disappeared. What I'm hearing from customers now is, you know what, when we deploy something with Axon, whether it's body cameras or records, it just works. Like, you guys hire great people. You empower them to get the customer supported. We do not let fail. And we're hearing more and more, hey, can we would love to just have Axon take over all the tech for our agency because you're a trusted partner. We know it's gonna work. And I think those ten-year deals are just it's a function of that where customers are like, you know what? We believe in this relationship, and we wanna do this for the long term. And we're all in together, and we're willing to do it over a long time horizon. Appreciate it. By the way, it's super incumbent on us to never let them down. The pressure on us to continue to execute only continues to grow as that trust grows. It's so easy to lose trust. It takes you decades to build it. So you'll see us defend it with every fiber of our effort.
Andrew Carl Spinola: No doubt. Thank you.
Operator: Thanks, Andrew. Thanks, Andrew. We'll try to squeeze two more people in here. Do Jordan at Bank of America, you're next. Awesome. Thanks for taking the question.
Jordan J Lyonnais: Just two quick ones. Guys have a lot of irons in the fire in new product development and that's in for growth. In the companies you've acquired. How should we think about margin mix going forward? And then two, Rick, for the time that you spend in Europe, what are the timing items that you're seeing on D drone sales? To NATO countries?
Brittany Bagley: I can start with the margin piece and then hand it over to Rick. Look, I think from a gross margin standpoint, I think we talked about it a bit. So that'll really just be product mix. There's tailwinds from software, and then you'll have mix between software and hardware. If you're thinking about adjusted EBITDA margins, look, we worked really hard to balance the impact of tariffs and all of those additional new segments we wanted to invest in. With our commitment on the 25% adjusted EBITDA margin for the year. So we're really happy and proud that we're delivering on our commitment for the year. And manage to balance, you know, all of the new things that we wanna go do for the long term and tariffs coming through, and that'll just be what we continue to do. We're always gonna take the long-term view, the multiyear view. We wanna continue making this an incredible business that compounds. And so we're gonna make the right ROI-based decisions in any given quarter about where we need to be investing and what we need to be doing for the long term. And set us up and you all up really well for that. I think if you compare to the rule of, you know, 40, any we're delivering, like, 55% plus against that rule, like, we're doing pretty happy with how we're balancing the margin versus growth profile. We're gonna continue to look at that in the future.
Joshua M. Isner: And I'll just add, before we hand it over to Rick. Brittany and I are very focused on smart investments, opportunities across markets, and thoughtfully staff all these new R&D opportunities we have. But, make no mistake, profitability is still important to this company. Yeah. And by the way, I would also add, if you look at the types of investments or acquisitions we're making, we're not buying mature cash cow businesses. Those tend to come with a lot of tech debt. We are a disruptor. And when we identify like we looked at the coming out of our strategy meeting earlier this year, one of the takeaways, I sat with the team and said, look, with the AI sort of explosion that's happening, now is the time for us to make our move into AI voice in particular on the 911 call space. And we did a hard look at should we build this ourselves or not. And as we looked around, we actually found two very talented teams that were relatively early with very different sort of product offerings. One that prepared that goes wide quickly and easily and another one that goes deep and really sets the foundation for the long term. And so we said, look, this was on our roadmap. The decision was we found two awesome teams. They're both pretty early in their growth cycle, but we think they're at the perfect time of the maturity of their platforms. They're great teams built on modern tech, a great way to integrate that into our ecosystem. It's not like we're again buying something that's mature where we're going to rationalize sales teams and try to cut our way to profitability. We think this is what makes our ecosystem so sticky and so valuable over the long term.
Brittany Bagley: And, Jordan, you asked about Diedron. I'll just quickly answer that so we can get to one more question. Look, I think D drone is actually the most consistent product we have across federal, state, and local, and international. We're not gonna go into market by market and NATO, on the call, but I would say across those three markets, we are seeing real demand for D drone. And, actually, the one that's maybe taking the longest to materialize is US state and local just based on some of the regulatory issues there right now in terms of mitigating drones. But there's a lot of pent-up demand there. And while we're waiting for, you know, some of those things to take shape, it's a great contributor to both our federal and international businesses. And there is a lot of demand across those segments for it. So I think the growth trajectory of D drone in and of itself across markets is something that we're excited to see play out.
Jordan J Lyonnais: Awesome. Thank you all.
Brittany Bagley: Thanks, Jordan. We'll take the last question from Josh Riley at Needham. Yes. I'll just ask one quick question here.
Joshua Christopher Reilly: Think FUSYS has about 200 customers, correct me if I'm wrong, on that front, and there's roughly 12,000 agencies in the US. Do you think that DFR programs or some other catalyst is out there which could drive much higher penetration for FUSYS over the next few years? Or is it more of a natural kind of pipeline building process that you've kind of just executed excellently over the last few years? And then one question I get too with that is is a real-time crime center relevant to all 12,000 agencies in the US, or is it really just some portion of that mix ultimately that is relevant for the TAM?
Jeffrey C. Kunins: Do you wanna take it? Josh?
Joshua M. Isner: Go ahead, Jeff. I mean, I think the simple answer is absolutely every single agency of all sizes should and I think over time will have, you know, broadly the notion of a real-time crime center that doesn't always mean a big room with giant monitors in it. That's the beauty of SaaS software in the cloud is it can be the app on your phone. It can be the MDT in your car. But the notion of having a single pane of glass to aggregate all of the signals, whether it's 911 calls, whether it's CCTV cameras, whether it's body cameras, drones, D drone, etcetera. Every agency needs that for situational awareness and the demand both in domestic law enforcement and in enterprise is just staggering. And I think we're as Brittany said earlier, we are extraordinarily excited about the growth. And then also, as an interim step towards that, we also already this year migrated and smoothly transitioned almost every single customer that had previously been doing live streaming on our body cameras and what we used to call respond, onto FUSYS. So every single one of those customers is already now using FUSYS for their body camera live streaming even if they haven't yet expanded also connecting CCTV cameras and the rest. And so all of that motion is comprehensive and high growth.
Brittany Bagley: Yeah. Think of FUSYS as, like, the more hardware inputs we have in the market, the more FUSYS adoption will grow across body cameras, ALPR, DFR, CCTV, etcetera.
Joshua Christopher Reilly: Awesome. Thanks, guys. I think that 200 is outdated. I don't think we've updated it, so maybe we'll consider updating it. But I would imagine that it is bigger than that now.
Joshua Christopher Reilly: Awesome. Thank you, guys. Thanks, Josh. Alright. We'll kick it to Rick to close this out.
Rick Smith: Awesome. So as we look back, we're three quarters into the year. I couldn't be more proud of the team in terms of the financial results. We have really beat our internal expectations. I'm proud of the organic work our teams have been doing. Products like, oh, let me find Airgain, but, you know, ABW Mini, Outpost and Lightpost, we didn't really spend much time talking about that. That's a huge potential market for us. Building on our acquisitions of FUSYS and D drone and now the new acquisitions of Prepared and Carbine. And then that all leverages our internal and organic growth of all of our AI Aeroplan offerings. So I'm just delighted that we're executing both I think world-class on our organic programs and Henrik Gould and his team has done just a masterful job from corporate development to really turn on partnerships and acquisitions really build out this ecosystem in a way that you know, what really matters is do we give our customers world-class superpowers. They're Jeff and I were talking about this. Remember what taxi dispatch used to be like? Right? Right? You'd call and then some person would be looking at a map to figure out where there's a taxi. That all changed with Uber. Now I'm not saying that it's gonna be the same kind of change. They think they're given when you're in a crisis, you're gonna need human beings to help you through that. But there's huge tech improvements that are gonna happen. We think we are so well-positioned to continue to be that tech platform that our partners can work across all of the things that they need to do and not just within an agency, but now reaching out to enterprise users who then have their security teams that have to interact with customers. But then we're now finding new productivity use cases that are maybe even not even security-related for our audio, video, cloud, and AI platforms. It's just an incredibly exciting time to be where we are. I think our team is probably doing as good a job as I've seen of any company turning the AI hype into real valuable products for customers and real repeatable, scalable profitable revenue for our investors. So bam, it's we're going into the holidays on fire. And excited, and I can't wait. I hope you all have a wonderful holiday season. And we will see you in the New Year and be ready to update you on the next leg of our growth.